Operator: Good morning. And thank you for joining The Sherwin-Williams Company’s review of the First Quarter 2021 Results and our outlook for the Second Quarter and Full Year of 2022. With us on today’s call are John Morikis, Chairman and CEO; Al Mistysyn, CFO; Jane Cronin, Senior Vice President, Corporate Controller; and Jim Jaye, Senior Vice President, Investor Relations and Communications. This conference call is being webcast simultaneously in listen-only mode by Issuer Direct via the Internet at www.sherwin.com. An archived replay of this webcast will be available at www.sherwin.com beginning approximately two hours after this conference call concludes. This conference call will include certain forward-looking statements as defined under U.S. federal securities laws with respect to sales, earnings and other matters. Any forward-looking statement speaks only as of the date on which such statement is made and the company undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information future events or otherwise. A full declaration regarding forward-looking statements is provided in the company’s earnings release transmitted earlier this morning. After the company’s prepared remarks, we will open the session to questions. I will now turn the call over to Jim Jaye.
Jim Jaye: Thank you, and good morning, everyone. Sherwin-Williams delivered first quarter results in line with our expectations in an environment characterized by strong demand, ongoing cost inflation and choppy raw material availability, which began improving meaningfully in the final weeks of the quarter. Sales in the quarter grew by a high single-digit percentage against a double-digit comparison a year ago, and we delivered sequential improvement and consolidated gross margin and segment margins in all of our businesses. Our margins remained under pressure on a year-over-year basis, a significant pricing actions previously announced in all businesses have not yet fully caught up to highly elevated raw material costs near-term. This remains an area of volatility. Our team is operating with confidence and momentum, as we begin to enter the painting season. Our strategy is clear and we remain focused on delivering solutions that help our customers succeed. Let me briefly summarize the quarterly numbers before turning to John Morikis, who will provide some additional commentary on the quarter and our outlook. Comparisons in my comments are to the prior year period unless stated otherwise. Starting with the topline, first quarter 2022 consolidated sales increased 7.4% to $5 billion. Pricing was in the low double-digit range. Volume was lower in the Consumer Brands Group and The Americas Group, primarily due to challenging prior year comparisons, along with anticipated raw material availability challenges, which are largely behind us now. Consolidated gross margin decreased to 41.1%, driven by lower sales volume, primarily due to raw material availability issues and cost inflation outpacing our price increases near-term. Our gross margin improved each month during the quarter and compared to last year. On a sequential basis, gross margin improved by 160 basis points, due primarily to additional pricing actions taken in the first quarter. SG&A expense decreased to 28.2% of sales. Our SG&A expense was 2.3% below fourth quarter 2021 and on a sequential basis was 200 basis points better. Consolidated profit before tax decreased 9.4% to $461.1 million. Sequentially, profit before tax improved by $152.2 million, or 49.3%. The quarter included $70 million of acquisition-related depreciation and amortization expense, compared to $75.6 million a year ago. Diluted net income per share in the quarter was $1.41 per share versus $1.51 per share a year ago. Excluding acquisition-related depreciation and amortization expense and the Wattyl divestiture first quarter adjusted diluted net income per share was $1.61 per share versus $2.06 per share a year ago. On a sequential basis, adjusted diluted net income per share increased 20.1%. EBITDA in the quarter was $693 million or 13.9% of sales. Moving on to our operating segments, sales in The Americas Group increased 5.6% against a high single-digit comparison, as low double-digit pricing offset lower volume related to challenging comparisons into raw material availability, which improved significantly over the last few weeks of the quarter and has continued to improve as we enter the second quarter. DIY volume was impacted the most, as we prioritize serving the professional contractors, which make up the largest part of our business. Segment margin decreased to 16.8%, resulting primarily from lower sales volume and higher raw material costs, partially offset by selling price increases and good cost control. Segment margin improved 170 basis points sequentially. Sales in the Consumer Brands Group decreased 10.1%, due primarily to lower sales outside of North America and an impact of 6 percentage points related to the Wattyl divestiture. This was in comparison to an extremely strong quarter a year ago, where sales were up 25%. Adjusted segment margin decreased to 12.1% of sales, resulting primarily from lower sales volume and higher raw material costs, and supply chain inefficiencies, partially offset by selling price increases. Segment margin improved 580 basis points sequentially. Sales in the Performance Coatings Group increased 20.4%, against a double-digit comparison and were driven by volume and price increases. Adjusted segment margin decreased to 11.8% of sales, as operating leverage from the higher volume, selling price increases and good cost control were more than offset by higher raw material costs, where inflation was the highest among the company’s three operating segments. Adjusted segment margin improved 290 basis points sequentially. Let me now turn the call over to John for some additional commentary on the first quarter along with our outlook for the second quarter and the full year 2022. John?
John Morikis: Thank you, Jim, and good morning to everyone listening. Before getting into some color on our three segments, I’d like to frame today’s call with some themes we are seeing across the business. First, demand remains very strong across most of the business. Our teams are highly engaged and focused on growing volume through new accounts and share of wallet, as well as reactivating customers that may have shopped elsewhere to meet the needs of a specific project over the past year due to product availability challenges. Second, raw material availability improved meaningfully late in the quarter and this has continued into the second quarter. We do not expect lack of raw materials to have a material impact on sales going forward. To be clear, the supply chain has not completely recovered, as the bottleneck has now largely moved from suppliers’ production to their transportation and logistics. In the near-term, we are speeding this recovery by employing our own fleet and tank wagons to supplement suppliers’ delivery capabilities. Our ability in this area is unique among our competitors. We are also focusing on SKU prioritization and formulations to make the most of the raw materials that are available to us. Additionally, the Specialty Polymers acquisition is meaningfully contributing to our resin needs. Third, inventory in our stores and distribution centers is in a markedly better place than it was at the end of December. The 50 million gallons of incremental architectural capacity we brought on in the fourth quarter is up and running. As the supply of raw materials improves, we are quickly converting those materials to paint. In fact, we made more architectural paint gallons in March than in any previous month in our company’s history. We expect to run this additional capacity at a high rate to keep up with demand through the painting season and then begin building inventory in our fourth quarter as we typically would. And looking to the future, we announced a $300 million investment to begin expanding production and distribution at our Statesville, North Carolina architectural facility that serves both TAG and CBG, which will be completed in 2024. Finally, inflation remains significant and is trending toward the high end of the guidance we previously provided. In addition to raw materials, we have seen increases in other elements of the cost basket including freight, energy and labor. As we have said in the past, our continuous improvement efforts are focused on offsetting these increased costs. Additionally, we have been aggressive with pricing actions in all of our businesses to offset these costs and we will continue to do so as necessary. As far as our first quarter, I will keep my comments brief in order to get to our outlook. The Americans Group, sales growth in the first quarter was led by Protective and Marine and Property Management, both of which were up by a double-digit percentage. New residential, residential repaint and commercial were up by a mid single-digit percentage. DIY was down double digits, as we faced a strong double-digit comparison and prioritize sales to professional contractors. We have also begun to see margin recovery in the business as segment margin expanded sequentially. From a product perspective, exterior paint sales performed better than interior sales, with interior being the larger part of the mix. We realized a low double-digit increase in price in the first quarter, with volume remaining under pressure. The 12% price increase we announced February 1st is going in as planned. We opened for net new stores in the first quarter and still plan 80 to 100 for the year. We also continued our growth investments and sales reps, management trainees, innovative new products, ecommerce and productivity enhancing services. Moving on to our Consumer Brands Group. While this business faced a very challenging comparison, we are encouraged by our sales in North America, which were nearly flat as we continue to focus on supporting key strategic retail partners and growing our pros who paint initiative. Sales were softer in Europe and China, as we faced double-digit comparisons and COVID-related lockdowns. Note that we have now anniversary the Wattyl divestiture, which was a drag on Group sales of about 6 percentage points in the quarter. Pricing was positive in the quarter and in the high single-digit range. Segment margin expanded significantly on a sequential basis benefiting from increased volume, leverage on SG&A and incremental pricing. Last let me comment on first quarter trends in Performance Coatings Group. Group sales increased by 20.4% in the quarter, including high single-digit volume growth against a double-digit comparison. Price realization was in the low teens range, and all regions and all divisions generated growth. As in the other groups, we saw meaningful sequential margin improvement during the quarter. Regionally, sales in the quarter grew fastest in North America, followed by Latin America, Asia and Europe. Every division in the Group grew, with nearly all by double digits, driven by robust underlying demand, new customer wins, share of wallet gains and pricing. Packaging was strongest, followed by coil, general industrial, auto refinish and industrial wood, respectively. Before moving to our outlets, let me speak to capital allocation in the quarter. We returned approximately $558 million to our shareholders in the quarter in the form of dividends and share buybacks. We invested $407 million to purchase 1.45 million shares at an average price of $280.77. We distributed $150.9 million in dividends. We also invested $106.3 million in our business through capital expenditures, including $77 million in core CapEx and $29 million for our building our futures project. Additionally, the acquisition of Sika European Industrial Coatings business closed on April 1. We ended the quarter with a net debt-to-EBIT ratio of 3.3 times, as we increased short-term borrowing to fund our share repurchases and the Sika acquisition. We expect to be closer to the high end of our 2 times to 2.5 times range by the end of the year. Turning to our outlook, as I referenced earlier, we continue to see very strong demand in North America, Pro architectural end markets, though we are facing a comparison to a strong double-digit growth quarter that was driven by very robust post-pandemic recovery. Comparisons will ease in the back half of the year. Rising mortgage rates have not made an appreciable dent in the demand for our new residential customers to this point. Should the residential demand slow, we remain extremely well-positioned in multiple architectural segments, including residential repaint and property management, which have proven to be more defensive in nature. We expect industrial demand will remain strong as the year progresses based on the outlook our customers have shared with us. Comparisons will be challenging over the remainder of the year. Demand remains strongest in North America, our largest region. European demand also remains strong, although we continue to closely monitor for potential impacts from the war in Ukraine. For the record, our sales in Russia and Belarus are well below 1% of the total company sales and we are suspending operations in these regions. In Asia and in China particular, demand has been dampened near-term by the latest COVID-19 wave. On the architectural and industrial sides, we will continue to leverage our strengths in innovation, value-added services and differentiated distribution, as we expect to grow at a rate that outpaces the market. From a supply chain perspective, we believe we are through the most challenging aspects. As I described in my earlier comments, we expect this to continue improving and to have a minimal impact on sales going forward. On the cost side of the equation, we are maintaining our low double-digit to mid-teens raw material inflation guidance. Though, we are trending toward the high end of the range, driven primarily by Performance Coatings Group. There is considerable short-term volatility in the market and our visibility beyond the quarter or two is limited. We do expect the level of year-over-year inflation to remain elevated, but to moderate in the back half of the year. Our pricing actions remain on track and we are prepared for additional increases if necessary. For the second quarter of 2022, we anticipate our consolidated net sales will increase by a low double-digit to mid-teens percentage compared to the second quarter of 2021, inclusive of a low double-digit price increase. We expect The Americas Group to be up by a high single-digit to low double-digit percentage. We expect Consumer Brands to be up by the high-teens to a low 20 percentage. And we expect Performance Coatings to be up by a low double-digit to mid-teens percentage. Our full year guidance is heavily second half weighted due to stronger volume, the impact of pricing actions and weaker second half 2021 comparisons. I will remind you we began 2021 with great momentum, including first half sales growth of 14.7% and adjusted EPS growth of 26.6%, before the natural disasters, supply chain and COVID issues derail the second half of the year. For the full year 2022, our guidance remains unchanged. We expect consolidated net sales to increase by a high single-digit to low double-digit percentage. We expect The Americas group to be up a mid-to-high single-digit percentage, with North American paint stores at or above the high end of the range. We expect Consumer Brands Group to be up a low-to-mid single-digit percentage and Performance Coatings Group to be up by a high single to low double-digit percentage. We expect diluted net income per share for 2022 to be in the range of $8.40 per share to $8.80 per share, compared to $6.98 per share, earn in 2021. Full year 2022 earnings per share guidance includes acquisition-related amortization expense of approximately $0.85 per share. On an adjusted basis, we expect full year 2022 earnings per share $9.25 and $9.65, an increase of 16% at the midpoint over the $8.15 we delivered in 2021. The additional data points we provided last quarter on full year currency exchange, tax rate, CapEx, interest expense, depreciation and amortization are unchanged. As we enter the heart of the painting season, we remain confident our strategy, our capabilities, and the differentiated product and service solutions we bring to customers. The 61,000 employees of Sherwin-Williams are focused on the tasks at hand and there is no better team in the industry. Our business remains extremely well-positioned and we are emerging as an even stronger Sherwin-Williams following the challenges we faced the last two years. I am excited by the momentum we are gaining as we progress towards what we expect will be a very strong second half of the year. In addition to today’s call, I will remind you, we will provide additional commentary on the market and our business at our upcoming Financial Community Presentation event scheduled for Wednesday, June 8th in New York City. Details are available on our website and we are very much looking forward to seeing many of you in person. And that concludes our prepared remarks. We will be happy to take your questions at this time.
Operator: Certainly. [Operator Instructions] Your first question is coming from Vincent Andrews from Morgan Stanley. Your line is live.
Vincent Andrews: Thank you, and good morning, everyone. I am wondering if you could just talk about your volume possibilities in TAG in the second quarter. If I sort of back out the price we think you are going to get in the second quarter to sort of imply some volume. I am just wondering how much better you might be able to do versus that and if you are concerned that maybe just I know you had big volume production in March. But is there any limit at all for the amount of volume you could flow through the stores in the second quarter?
John Morikis: Yeah. Vincent, maybe the way I will go out this is, just to take a quick run through the different segments and give you a little bit of color on the demand, because I think that speaks to what you are asking here. So let me start with raspberry paint and tell you that our customers are experiencing really strong backlogs. There’s a positive mix shift in quality that’s also taking place and we believe that plays really well to our advantage. So when you talk about volume, our ability to grow our volume faster than market also includes the ability to drive greater productivity through for our contractors is this quality that we are providing them helps to provide the finished product that a more experienced painter applicator might be able to apply and so we are helping them do that with through product. If you look at this area, you would clearly see home appreciation driving demand. LIRA their forecasting for the growth in 2022 is in double digits. If you look at the NHAB -- NAHB Remodeling Index is strong well above 50. And existing home sales have slowed year-over-year against a very strong comp in lack of inventory, but overall it’s a very strong market for us. So we expect to continue to see a good strong demand market in residential repaint our contractors are telling us. I mentioned many of them are looking through the end of the year with a pretty solid backlog of projects and we are going to grow with those customers. But this is an area that we absolutely expect to continue to grow our market share pretty aggressive rate. Property Maintenance is -- really underlying demand is solid here as well. There’s been delayed maintenance that’s now being addressed and we see improved areas and apartment turns along with the return to travel, office, even school that’s driving demand. And I’d say, in this area as well there’s an increased awareness of the need to keep these assets fresh, current and clean, and as you know, paint is inexpensive, yet impactful solution in this area. Commercial, I would say, the underlying demand here is also solid. Projects are resuming albeit at varying paces, but the starts are positive. Customers are reporting labor constraints and material shortages on these projects are acting as governors of growth. So any aspect of this project that could be anything from drywall to roofing project -- products, anything could have an impact here that’s could be significant. Dodge Momentum Index here is strong, as is the Architectural Building Index, which has been positive for straight months, and as you know, that tracks the current building by architects, which generally leads to the commercial construction spending nine months to 12 months out. And the other area, obviously, that we are really focused on is new residential, we got a great position here and growing by the way, starts and permits remain strong year-over-year with multifamily stronger than single, but both really terrific markets for us. Completions are softer due to material availability here, in some cases, labor as well. We have not seen a meaningful slowdown, as I mentioned earlier from rising mortgage rates, which are still low in comparison to other periods. In this area, we have gotten a lot of questions about throughout the quarter and I thought I’d just highlight one area, this article by USA today that I think captures kind of the sentiment that we have in new residential. They talked about the housing unit shortfall ranging between 5.5 million and 6.8 million, despite an annual average of 1.5 million new housing units completed and a 1.7 million spike in 2020 alone, a new construction would need to accelerate to a pace that’s well above this current trend to more than 2 million housing units per year to close this gap. Even if building were to continue at the current level, the most rapid pace in more than a decade, it still take more than 20 years to close the 5.5 million unit gap. So as I mentioned, we have got a strong position here. We are determined to get stronger here. And I will tell you that, regardless of what happens in these professional areas, way that we have been driving this company for years now with our strategy development and strategy deployment is to be in position to capitalize on it whichever way it tilts. So if any one of these areas should for some reason slow down, we have worked really hard to position ourselves to be able to capitalize on whichever way the market might shift to and we believe that we would be able to capitalize on it. I am going to touch on one more area then I am going to ask Al to talk on the volume a little bit further as DIY. We did talk about the fact that DIY behaved as we expected. As demand continued to return to more normal level and this was against, as I mentioned earlier, difficult comp. But we also prioritized our professional contractors and our key strategic customers in our Consumer Brands business that impacted this DIY business.
Al Mistysyn: Yeah. Vincent, this is Al Mistysyn. As I -- just as a level set on our January call, we talked about our expectation for the first half architectural volume, which includes Consumer and TAG to be flat to down low-single digits primarily because of the difficult comps that John talked about. In our second quarter with our TAG sales projected be up high low, high single to low-double digits with price up low-double digits and volume flat to down slightly. That’s a sequential improvement for the first quarter. So we talked about the first quarter being down mid-single, flat to down slightly in the second quarter. That leads you to the momentum on an easier comp in the second half. We talked about the full year TAG sales of mid-to-high single digits with North America paint stores at or above the high end of that range. When you look at price low-double digit in our first half, as you analyze the price increases we took in in the second half of last year, our price in the second half will trend for the year to be at mid-to-high which gets you a low-to-mid single-digit volume growth in TAG and North America paint stores and I fully expect that to be the case.
Vincent Andrews: Thanks so much.
John Morikis: Thank you, Vincent.
Operator: Thank you. Your next question is coming from Jeff Zekauskas from JPMorgan. Your line is live.
Jeff Zekauskas: Thanks very much. Can you comment on the effects of raw material shortages on volumes in the first quarter? And can you talk about your volumes in the first quarter in residential repaint and new residential, commercial, what was the business like excluding the volume contraction in DIY?
Al Mistysyn: Yeah. Jeff, on raw material availability, what I would say is, we talked about on our year end call that we thought it might be a low single-digit to mid headwind. The way the quarter rolled out with availability, we saw some choppiness in January, improved in February. As John talked about, it was significantly better into March and into -- and it continues to improve in April. And in the data points that I have to show that, as John talked about, March was a single largest architectural production volume on -- in the history of the company. We significantly improved architectural gallons from December year end through the end of March. It’s not our historic levels, but it is a significant improvement 20 plus million gallon increase. So, I think, to pinpoint exactly how much availability had on the quarter, it’s really tough, because I look at how much of that would have been in sales versus how much we could have put in inventory. The fact is, the availability behind us, we have a lot of confidence to fill our 50 million gallons of additional capacity, along with the help of SPI. And the other data point I would highlight is, our expectation for architectural inventory through our seasonally highest second quarter and third quarter sales quarters to be flattish from the first quarter. As you know, Jeff, historically, our inventory would decline through the summer quarters, because you can’t keep up with the volume. Because of the capacity we put in, we are going to be able to keep up with the sales volumes and increased buying inventory in our fourth quarter similar -- getting back similar to where we were back in 2019 and significantly higher than the last two years.
John Morikis: Yeah. The only thing I would add to those great responses. I think the trend of manufacturing will continue to your point all the way through till probably this time next year, we will run our assets hard to build that inventory back up. And maybe clarifying point that I think is important is that to your question about volume on each of those segments, Jeff, I don’t need to break them all down, because they were all very similar. They all improved as the quarter improved, quarter went on.
Jeff Zekauskas: Were they higher for the quarter or lower?
John Morikis: Year-over-year they were lower?
Al Mistysyn: Yeah. Jeff, they would be lower, primarily because of the more difficult comps that we had. Whereas repaint was up -- raspberry paint, new res, DIY roll up strong double digits and new res and commercial were up as well. So tougher comp in our first quarter.
Jeff Zekauskas: Okay. And for my second question, the -- are you done with price increases in The Americas Group, you have commented in your slides that you have more pricing actions to go in Consumer Brands and Performance Coatings. But I didn’t see that in America. So are we done in Americas for this year?
Al Mistysyn: Yeah. Jeff, I wouldn’t say we are done. I would say, when we look at the visibility and the volatility we have in the market around, not just raw materials, but other input costs. That visibility is out one quarter at best. I think what you will see us do is like we have in the past. We will monitor those input costs very closely and if we see a meaningful or if we see a meaningful change in them, we are prepared and discipline to go out with additional price. Similar to what we did last year, we went out August 1st 8% and we went out in September with a surcharge. So we have to monitor these situations closely and really react to what we anticipate.
Jeff Zekauskas: Great. Thank you so much.
John Morikis: Thanks, Jeff.
Operator: Thank you. Your next question is coming from Josh Spector from UBS. Your line is live.
Josh Spector: Yeah. Hi. Thanks for taking my question. So just on the consumer side, I mean, kind of goes to some of your prior points on The Americas Group. Just wondering how much of the 20% growth would you say as volume refill versus pricing moving up from the high single-digit level?
John Morikis: The -- if I look at the -- you say the 20% growth in our first quarter. Josh, are you talking about our second…
Josh Spector: Sorry. In your second quarter guide?
John Morikis: Sorry. Thank you. When you look at high-teens, low 20%, expect price to be up a similar amount. As TAG, we have significantly easier comps, which was down strong double-digit. I think when you look at our inventory build. We had an inventory built in the first quarter through our strategic partners. As you would expect, we were in a similar situation that we talked about as the third quarter and fourth quarter went on, we drove our inventories down across the chain, both the TAG, Consumer and our retail partner. So we did have to build some inventory at store level with these partners. But really the -- we did have a weak comp, we expect North America to be strong, we do expect with Asia and Europe to be softer in our second quarter. That’s about 15% of our sales and pretty strong comps outside the U.S. and Europe and Asia. So, I don’t have an exact number to say, how much was building versus sell-through, but rest assured, we had to build inventory in our first quarter in our retail partners.
Josh Spector: Thanks. And I guess just as a follow up, are you seeing any change in the Consumer channel or -- and the DIY channel, either your own stores or in your Consumer Brands group? I guess as pricing goes up, is there any trade down or any things generally pretty stable?
John Morikis: No. I’d say they are pretty stable. I’d say in -- as it relates to the Consumer side of our stores and in our Consumer Brands customers. I’d say in our Professional side, as I mentioned earlier, we are seeing more of a positive mix shift moving into higher quality rather than shift down.
Josh Spector: Thank you.
John Morikis: Again, that’s driven mainly off of labor and the design of the painting contractor has to be as productive as they can, so they can attack the backlog that they are facing. Thank you, Josh.
Operator: Thank you. Your next question is coming from Chris Parkinson from Mizuho. Your line is live.
Chris Parkinson: Great. Thank you so much. So you had a little on the raw material shortages? Can you hit on your own, as well as probably the industry’s efforts to further backward integrate into certain resins and also some additives? Just where do we stand with that and when should the investment community see the effects from those efforts? Thank you.
John Morikis: Well, importantly, our customers are starting to see the effects as we purchased this SPI with the idea of really trying to leverage that asset, Chris, I think, it’s doing that and it’s only going to get better for us. I don’t think you should expect us to continue further upstream. We believe -- we have always had a resin strategy and we have always manufactured resin. SPI was a top producer for us, terrific people, terrific assets and an opportunity to get in there and get the most out of that that set of assets. It also, as you mentioned, as we mentioned, when we announced this, it helped us to deleverage, if you will, a little bit of the dependence on the Gulf Coast, these manufacturing facilities are on Each Coast and to get a little bit away from some of the hurricane risk that, while they are on the coast or inland and terrific assets. We are already starting to see more productivity out of these assets. We expect that to continue. There will be some investments in there, but very reasonable with great return. We don’t expect us to get into the additives, TiO2 business, that’s not where we belong.
Chris Parkinson: Got it. There’s also been a lot of chatter just in the investment community, at least in the past quarter to just regarding market share shifts, potential market share shifts, in some part due to finish product shortages. Now that you have the opportunity to speak to all of us, what’s your public response to those debates and what confidence level can you convey to us regarding your ability to maintain or likely build market share, once everything normalizes in the supply chain? Thank you so much.
John Morikis: Yeah. Chris, I appreciate that question, and I’d tell you that, our confidence level is very high. We can always speak to our strategy. And I will tell you that we are blessed with a control distribution model that serves us well. And we leverage this model, and that includes a strong and very consistent brand strategy. We think that branding strategy and the consistency of it is equally important. We have an innovation program designed to develop segments specific product. So because we have a control model, we are able to talk to each of these segments to understand what are the needs of these customers, what are the challenges and we develop probably products that are specific for these segments. And we do the same with our services, so that we have a very good understanding of what the needs are of these painting contractors and we build the services to help them make more money. And finally, the reason I have probably the most confidence is our people. I believe we have the best people in the industry and I am not apologetic about making that claim. We hire around 1,400 to 1,500 college graduates a year to enter our Management Trainee Program and we recruit outstanding talent. We train and develop this talent and we retain this talent. These are the people that serve our customers. And for nearly 40 years, we have been investing in this program. This training program is 40 years old. We now have thousands of graduates from our Management Training Program throughout the company. In just our TAG business, as an example, four of our five division Presidents were management trainees, our Group President was a trainee and throughout the company, we have over 26 Vice Presidents that were management trainees. And by the way, one CEO that was a training. We think this is important. Our customers, they are buying more than a gallon of paint, that -- we tell our people constantly that, companies don’t compete, people do. 70% of our field leaders are graduates of our Management Training Program and they provide the leadership and direction to our tenured organization, they know what to do, they know how to win. And I say tenure, because over 7,000 of our employees are -- have greater than 20 years service. That’s nearly 15% of our workforce has 20 years or more of paint experience. And these leaders created an environment where people win and they want to stay. One half of our rep force has over 10 years of service. Turnover of our customer facing reps and managers is still in single digits. In this environment still in single digits, we are hanging out of the most important assets we have and that’s our people. Our people wake up every day, they focus on two things, paint and making painting contractor successful. So this specialty store format, it works for painting contractors. We have always talked about avoiding complacency in our company. In fact, we often say that complacency kills. We are working to get better every day. We were working to make our painting contractors better every day. But I will say this, I do believe this will come down to our people versus others. We have a 40-year head start, a lot of drive, a lot of determination. We are not going to win by a little bit. I am looking forward to competing against any model.
Chris Parkinson: Great color. Thank you so much.
John Morikis: Thanks, Chris.
Operator: Thank you. Your next question is coming from Ghansham Panjabi from Baird. Your line is live.
Ghansham Panjabi: Thank you. Good morning, everybody. I guess just going back to your earnings guidance through iteration for 2022. The macroeconomic backdrop seems a bit less certain, especially in Europe and China, along with any potential supply disruptions in these regions as well. Now understanding that you have a wide earnings range still for the year, what would you call it as sort of incremental positives relative to initial view that are offsets to some of the risks on the global macro? Is it as simple as just better raw material access visibility or what else would you have to think about?
John Morikis: Well, I’d say first, we just talked a lot about people. I’d say that’s a third advantage. But I’d also say that if you look at the assets, we have talked about that we have deployed, the responsiveness that we have. And I will say this, our Chief Procurement Officer, Colin Davie and his team are working really well with our customers and I have learned to appreciate the demonstration of rewarding suppliers who have stepped up to serve us and the suppliers have been creative in responding to our needs. The assurance of supply to your point continues to be an important element in this market and once you have that supply, I think, we demonstrated in the month of March, we had a record month in the company’s history of producing product. And so, what I’d say is that, it’s not one thing. It’s the entire ecosystem. It’s everything we are doing. Everything that we bring and it’s all focused and starts with one thing, the customer. So we are looking through that lens we are working back and this large 156-year-old company is learning to be nimble and quick and respond. And so I’d say that, if I am looking at it from the outside in, I am looking at a lot of assets that are really positioned well to be able to respond to a high demand market.
Al Mistysyn: Ghansham, I would just add to that. You look at our sequential gross margin and operating segment improvement -- sequential improvement across each of the operating segments and all the hard work that those teams have done. Ad I will highlight one in particular, Performance Coatings Group that took the really the brunt of the raw material increases in the second half have been out with price on multiple occasions. You look at our first quarter operating -- adjusted operating margin about flat year-over-year. And if you recall, the increase -- significant increases we took for raw materials for that segment were primarily in the second half. So that team has done just an absolutely terrific job getting price, holding price and its showing and we are going to see that continued improvement in our gross margin in the second quarter. We expect to see sequential improvement in our gross margin and across each of the operating segments, albeit Consumer from a historic low operating margin and adjusted operating margin in the fourth quarter, but the pricing actions, the volume and all the continuous improvement efforts across each of the segments that are helping to drive our bottomline faster than our topline. So that’s what gives me confidence that we are going to continue to see improvements as the year goes on.
Ghansham Panjabi: Okay. Thanks for that. And then if we have just switched to Performance Coatings, several businesses in their packaging, coil, et cetera, have had a very, very good run volumetrically. There’s lots of evidence of kind of mean reversion of consumer habits that have occurred post-COVID as mobility sort of normalizes. So as you kind of think about these various individual businesses within PCG, how do you expect the volume trend line to unfold over the next few quarters?
John Morikis: Well, we are really excited to your point. We have got a lot of momentum in these businesses and there’s no expectation for less if that’s the question. We sit in this room, this boardroom and we talk with our teams regularly about the competence that we have. And maybe I could walk through quickly, if you would like each of these segments, just to give you a little bit of color, because there is a lot of strength, but boy, there’s so much opportunity. If you look at our packaging, we had a strong double-digit growth in the quarter. In fact, each of the last three quarters we have had record quarters in this business, packaging sales, with sales of around 30% per quarter for the last three. So if you look at this business, the demand is very robust and food and beverage, our non-BPA coatings continues to gain traction. Both we and our customers are investing in capacity expansions in anticipation of a strong demand year here in 2022 and beyond. So we are thrilled about that business. The differentiation that we have in the technology and the people we have, it is just phenomenal. This is a nugget that came obviously with the Valspar acquisition as this coil. We had a double-digit growth quarter in coil. That’s the fourth straight quarter we have had sales of double-digit growth here and double-digit in every region, led here by extrusion and metal buildings. So we are excited about this business going forward. Our general industrial, again double-digit growth in the first quarter. That’s the fifth straight quarter with double-digit growth in GI. Every region was positive led by North America and our LatAm business, transportation and general finishing were strongest here. Our auto refinish had double-digit growth. Miles driven here are below, but nearing pre-pandemic levels and continue to leveraging our technology as a key here. We brought in some wonderful technology from Valspar that works terrifically with our Sherwin tech technology and we are growing share here pretty aggressively. And in industrial wood, we had a high single-digit quarter. We have got very good momentum here, furniture, kitchen cabinetry, cabinetry and flooring, which obviously correlate to similar positive trends in new res construction. So we saw increases in all end markets, most by double digits and clearly really pleased with packaging and coil, but all of them were strong and by region, North America, our largest region grew the fastest and LatAm, Asia and Europe right behind. So expectations of this team remain really strong. We got a terrific leader here as well. Karl Jorgenrud came to us from Valspar. Got a lot of division presidents beneath Karl that are really experienced as well. We talk a lot about our TAG organization and the retention of people and the importance of that in TAG. But the same stands true in PCG. Our average division presidents average 29 years between Sherwin-Williams and Valspar. And again, when you look back, we talked openly about this greatest infusion of talent, when Valspar and Sherwin came together and we have been terrific in the retention of those people. Our turnover still and this is years after the integration is below 7%. And so, on the architectural side, I think if you look at the legacy Sherwin and the talent we had on the architectural side, we are pretty -- we like to think we are pretty strong, always could get better. They brought, obviously, some talent came in from the architectural side of Valspar. In fact, our new Chief Operating Officer came through the architectural side of Valspar. But when I look at the PCG side and the benefits we have had on the talent that’s come in from Valspar and our ability to retain it, yeah, it gives us terrific confidence going forward. So fundamentals, we have got great assets. We have got great technology. We have got great people. And we have great customers and we are going to leverage that for everything we get.
Ghansham Panjabi: Thank you.
John Morikis: Thanks, Ghansham.
Operator: Thank you. Your next question is coming from Greg Melich from Evercore ISI. Your line is live.
Greg Melich: Hi. Thanks. I want to follow-up a little more detail on the gross margin progression in the quarter. I think you mentioned that gross margins were down year-over-year, more due to volume than the gross price. Could you give us the number on that and do you think that continues that mix of gross margin pressure in the second quarter?
Al Mistysyn: Yeah. Greg, it -- the volume, as you know, and what we have always talked about is the single biggest driver of not just gross margin but operating margin and that clearly is a higher impact. If you look at year-over-year in our -- if you look at price cost in our first quarter, we are still chasing a little bit. I think we get on top of that as we get towards the end of the second quarter. So it will be less of a drag. And also in our second quarter, you see a seasonal increase in our architectural volume as you normally would. That’s going to help drive our gross margin, it is going to help drive our operating margin, and Greg, it’s still tough comps against TAGs, but you look at the volume down mid-single digits, it’s a significant drag in our first quarter. And to be down flat to down slightly in our second quarter is going to be a positive mix shift as well in our second quarter that’s going to help grow the margin.
Greg Melich: Got it. And when we look at the back half, if price is on top of raws by the end of the second quarter, for the back half, do we need another round of pricing to stay on top of the costs, given what we have seen year-to-date with, I guess, raws at the higher end of the range?
Al Mistysyn: Yeah. Greg, I think, what you -- what we are looking at is more on the industrial side right now. I think when we talk about the basket moving to the high end of the range. It’s more on industrial. As you know, industrial price increases aren’t as uniform. So there may be -- I talked about on our year end call, some in the first quarter, some that roll into the second quarter. I think the timing of those are pretty much the same. It’s just the -- that the amount or the percent increase that may have had to get adjusted. But like we talked about earlier, I think, our visibility is one quarter out at best, a lot of volatility and we will continue to monitor that, based on the last year and a half, I am not going to say, we don’t need more, we are just going to have to monitor it and go out and react accordingly.
John Morikis: Yeah. What we will say is that if we need to, we will. It’s not a hesitation.
Greg Melich: And maybe, John, just a follow-up on that, given the volume shortfalls, especially in the back half last year, are you a little more resident to hike prices again within a quarter. I am just thinking in the past, I think, you have waited about four months, now as you are trying to rebuild that volume and share. Do you think, obviously, you will get the pricing, but is there a tendency to want to wait an extra month or two just to be sure?
John Morikis: I think we have, you are right, Greg. Good for you, because I know you know our company well, we have done that. And I think what’s different now is that we are a little bit further into the volatility portion of this cycle and we have been communicating to our customers with greater clarity about the volatility. So I don’t know that we need to wait as we have had in the past, because we have been communicating to the customers, that our intent is to try to keep the price increase to a minimum. But with that, we are not building a buffer to be able to absorb the volatility and if there is more volatility, then we will need to be out quicker with additional price. So, I think, we would be moving quicker, and to your point, it’s nothing we would prefer to do or enjoy doing. We have yet to get a thank you note from any of our customers for it. But if the need be, we are going to do it, we will do it quickly.
Greg Melich: Great. Thanks and good luck.
John Morikis: Yeah. You bet.
Operator: Thank you. Your next question is coming from John McNulty from BMO. Your line is live.
John McNulty: Yeah. Thanks for taking my questions. You had mentioned early in the call that you were using your own fleet and the flexibility that you have with that to help your customers from a logistics perspective. Can you help us to understand, one, is that something you actually incrementally charge or is it just kind of part of the service that your customers are appreciative of? And I guess, on top of that, how should we think about -- if it is just more of a, hey, it’s part of our service, then how should we think about the cost of that and how that might decline once the -- all the big logistic issues kind of get put in the rearview mirror for us all?
John Morikis: Yeah. John, let me first go back to your question and the comment that we made earlier. What we were speaking to specifically there was suppliers not customers. And we do work with our suppliers, mainly to bridge gaps to ensure that we have the product when we need it, where we need it. It’s not our intent to do their jobs, but we are in this together with them, trying to work with them, and as you would expect, when that happens, there’s a discussion about what it cost that goes along with the fact that we are going to do that. So right now and you know our company, our focus is on taking care of the customer and the fact that we have got our fleet and it is a point of differentiation. We do leverage those and there are times when we are less efficient doing that. For example, one of our largest customers on the Consumer Brand side was very adamant about a South to North recovery approach that was a little less efficient than we would have liked to have seen, but important to our customers. And so we took that undertaking and served our customers in a way that allowed us to respond to their needs, not what -- not which was most or least expensive to us and that’s our DNA. And so, if it’s to use our fleet of trucks to help in the pinch to be able to get raw materials to a plant, or in some cases, right now, we are producing where we can get the raw materials and we are shipping it in some cases across the country to ensure that we have supply where we need it and if we were less efficient than what we would like and we have this terrific footprint. We want to optimize our supply chain to its fullest. But when it comes down to it, we are going to choose serving our customers. And over time, that the efficiency will work its way back in, we are not just waiting for that to happen. You should expect that, as a leadership team, we are very focused on it. Our teams understand that, but we also understand that servicing our customers is the highest priority we have.
Al Mistysyn: Yeah. John…
John McNulty: Got it. Thanks very much. Yeah. Go ahead.
Al Mistysyn: The only anything I would add to that is, we did call out that supply chain comment that John talked about in our Consumer Brand Group being a little bit of a drag in our first quarter. But clearly -- and that’s -- to John’s point, that’s an investment we are willing to make in servicing our customers better. That drag, if you look at the operating margins and what they were down, volume is still number one in consumer is driving that operating margin lower year-over-year, and then, let -- probably a third is the supply chain efficiencies, just to make that clear.
John McNulty: Got it. Thanks. Thanks for the color. Appreciate it.
John Morikis: Thanks, John.
Operator: Thank you. Your next question is coming from Steve Byrne from Bank of America. Your line is live.
Steve Byrne: Yeah. Thank you. The inventory build at the end of the quarter is noteworthy. Is that largely driven by the raw material costs or do you really have much more volume than previously you might have been low going into the quarter, but you commented that March was a big volume production month for you. So is that -- if that’s volume driven, is that a reflection of what you are seeing your Pro contractors have as backlog and is that what is giving you this confidence in such a strong second half?
John Morikis: Well, Steve, let me be very clear. We have incredible confidence in the second half, hard stop. We are growing inventory sequentially each month of the first quarter, because raw materials became more available. We added 50 million gallons of capacity. It’s online. It’s supporting the demand, and we are building inventory. We don’t have the inventory that we normally would have had coming out of the first quarter, but given the additional capacity that we have, we are able to serve our customers and we are going to utilize that additional capacity in everything we have between now and likely this time next year to run full speed, all out, building inventory to be able to continue to serve our customers. And if we have to put a little more in working capital to be able to serve our customers, we are going to do that.
Steve Byrne: And perhaps, relative to historical splits between first half and second half sales, how much stronger do you think second half this year could be?
John Morikis: It’s going to be a much stronger part of our success this year, partially because of the comparisons that we have, for sure. And second, as I -- we have just talked, the ability to make a record year -- a record month of production in March, says that, we have product, we have raw materials. And so, the demand is strong. We have raw materials. We have capacity. We are going to have a good time in the back half.
Steve Byrne: Maybe just one quick one, what fraction of your consumer sales are Pros that pain and how do you get that data? Is that from your partner?
John Morikis: Yeah. We are not going to comment about our customers’ mix of business. I will tell you that it’s overall a relatively small, but is a very important and growing area. We have been talking for a number of quarters about the investments that we are making here, the commitments that we are making here. In fact, even the fact that we just came through a pretty challenging time and we were prioritizing that business with raw materials. I think it should speak volumes. We love this controlled distribution model through our own stores, but we are very excited about this Pro who paints model. And we have, through our own stores had, if you look at it, marginal success, because there are customers that prefer a home centre channel. They want to be able to get in and they want to be able to buy a full array of products that are only available at a home centre. In the marketplace, there’s been a limited amount of competition in this space for too long and we believe, along with our strategic partners that there’s a terrific opportunity and we are determined to help our strategic partners win in this space.
Steve Byrne: Thank you.
John Morikis: You bet.
Operator: Thank you. Your next question is coming from P.J. Juvekar from Citi. Your line is live.
P.J. Juvekar: Yes. Hi, John. You talked about raw material shortages and supply chain issues for a while. Do you think adding 80 new stores is going to add to that complexity or do you think you have this new capacity and excess inventory that you can load in these new stores? And also, what’s the cadence of new stores? I think you opened, you said, only four new stores in the first quarter, so what’s the cadence of that?
John Morikis: Well, let me finish -- start with your finishing portion. We are going to be between 80 and 100 stores this year. And the answer as to why perhaps in a market like this to add stores is, we believe in the model. And we play a long game here and we didn’t predict that the world was coming to an end because we couldn’t get the raw materials. We knew we would and we continue to invest in every aspect of our business. Including, if you look at it in our manufacturing, we invested in labor to have people in our facilities, so that when raw materials became available, we could convert them. We did that and I think Mark demonstrated that. So now you follow the pipeline a little bit further, and you say, okay, now we are producing products. I am not going to be sitting here saying, oh, I wish we would have had the courage to invest in stores when things got a little bit tight. Maybe it comes with the 37 years of scar tissue that I have in the 30-plus years that all have and our other employee. We have seen this movie before. We know how it works. And we have got confidence. And when you have confidence, you look at adversity in the eye and you say we are going to run right at this. And during these tough times, we knew that others would do exactly what they do, close stores, close territories, get in their bunker and we are going after. We are bunker hunting right now and we are going to continue to do that.
P.J. Juvekar: Great. And also about the cadence of the new stores?
John Morikis: Yeah. Four in the -- net four, I think it was in the first quarter, we would like to see a little bit more than that. But it’s going to ramp up here between now and the end of the year. We will be in the 80 to 100 before the end of the year.
P.J. Juvekar: Great. And one of your competitors has a new partnership at Home Depot to target Pros at the big boxes. Have you seen any impact of that on your business?
John Morikis: Well, as I mentioned earlier, we have a model that we believe is the right model in the market. It certainly is for us. We believe painting contractors thrive in a specialty store format with the -- with people behind the counter that have 10 years, 20 years and 30 years of experience with products that were built for them in their specific areas and services that are focused on making them as productive as possible and as profitable as possible. So, I would just say, we welcome with no arrogance the competition. Competition makes you better. I am going to bet really big on Sherwin.
P.J. Juvekar: Great. Thank you and good to see your confidence. Thank you.
John Morikis: Yeah.
Operator: Thank you. Your next question is coming from Mike Leithead from Barclays. Your line is live.
Mike Leithead: Great. Thanks. Good morning, guys.
John Morikis: Good morning, Mike.
Mike Leithead: Maybe to start with John, in the release, you talked about the worst the supply chain challenges being behind us, was that mostly a U.S. architectural comment or I guess when you look at your international operations or maybe the legacy Valspar businesses are you seeing conditions there meaningfully improve as well?
John Morikis: Yeah. I want to give -- earlier, I mentioned Colin Davie, our CPO and also Heidi Petz, our Chief Operating Officer. I want to give her credit as well and she started in her role on March 1 and I don’t think she came up for air throughout the balance of the quarter out of this area. I mean terrific work by the entire team of really ensuring that we have the raw materials we need, and importantly, where we had it. When we look at what’s been happening, I don’t -- the impact on our architectural business outside of the U.S. is, obviously, a very small part of our business, not significantly impacted by this. The confidence that we have by working with our suppliers and in a partnership way, I think, is why we have this confidence. And again, the talent that we have in procurement and another fellow has to get the attention here. Joe Sladek, our President of our Global Supply Chain is the one that takes all these products and quickly is turning those in to finished goods and getting them to our stores and to our customers in a very nimble and quick way. It’s amazing behind the scenes the things that are happening to be able to convert quickly and take advantage of these opportunities and we expect that to continue going forward.
Mike Leithead: Great. Super helpful. And then, second, I was just hoping to drill a bit more into the raw materials basket. Obviously, there’s a lot of focus on oil-based inputs, but just curious what you are seeing on the inorganic side both in TiO2 with color payments? Thank you.
Jim Jaye: Yeah, Mike, this is Jim. What I’d say on the oil prices, we talked about probably going to be at the higher end of our guidance this year and part of that is because of the oil prices that we have seen. I think it remains to be seen how long those oil prices are going to stay sustained and I’d remind you really that propylene is more meaningful as an input for us for our resins and solvent than this oil. So oil and propylene are connected over the long-term, but in the short-term, we have seen disconnects in the past. So think as Al said earlier, we will continue to monitor all of these things if we need to go out with more there in terms of price, we will. Your question on the TiO2 side, we have seen inflationary pressures there given the strong demand, there’s tight inventories, and certainly, rising energy costs, which are used to convert the ore into TiO2. We haven’t had any availability issues really there. We are in a good place with our suppliers, I think. So really on the supply chain, we will continue to monitor it. We will get pricing as necessary and we expect it to -- from an availability perspective, that’s really behind us.
Mike Leithead: Great. Thank you so much.
Jim Jaye: You are welcome, Mike.
Operator: Thank you. Your next question is coming from David Begleiter from Deutsche Bank. Your line is live.
David Begleiter: Thank you. John, there have been some reports that Sherwin is discounting paint prices in the U.S. Are those reports just inaccurate?
John Morikis: Yes.
David Begleiter: Very good. And the same trend of the 12% pricing you announced for February 1st, how much are you getting and how is it compared to historical levels?
John Morikis: Yeah. David, the price increase has been actually a little bit better than the price increases we went out with last year. So the effectiveness has been maintained and improved as the months have gone on, has it been -- it has been filtered through the market and we feel very good about where that is at right now.
David Begleiter: Thank you very much.
John Morikis: Thanks, David.
Operator: Thank you. Your next question is coming from Kevin McCarthy from Vertical Research. Your line is live.
Kevin McCarthy: Yes. Good afternoon. Two questions on Performance Coatings, if I may. First, on the margin side, John, it looks like you made some nice sequential improvement there of 290 basis points. At one time, though, I think, you had a goal of high teens or low 20s, is that still the case for PCG margins, and if so, it looks like volumes are running pretty nicely nowadays. What do you think the path is to get there over the medium-term?
John Morikis: Yeah. Kevin, it absolutely is and we have great confidence in our ability to do that. I think you are going to continue to see that with volume. We have obviously seen the pickup in raw material cost has had an impact on it. So the price that has been announced rolls through. That’s going to have an impact. We have also talked publicly about some of the other that are available to us that we are continuing to emphasize and attack. And some of that includes the simplification of our product lines, our raw materials, less complexity going through our plants. I want to be very clear in our confidence and our ability to reach those metrics that we have been talking about. We were gaining some ground on it unfortunately, with the raw material spike. We gave up a little bit of ground in this, but we have got -- this isn’t just Bravado, we are going to do it. We are going to take the -- we have got confidence, we have got plans and we are executing on those. So we are going to deliver on this.
Kevin McCarthy: And then, secondly, you acquired Sika’s Industrial Coatings business just recently on April 1st, I believe. I realize it’s not a huge deal. But can you speak to what the opportunity is there and why you chose to do that?
John Morikis: Yeah. It’s a -- I think a great example of our M&A strategy, which we have always said, we are not trying to be everything to everyone, everywhere and that we don’t need practice. We are creating shareholder value. And so, when you look at the opportunity to acquire a strong position and protection in Germany with local production, Sherwin-Williams is strong in fire protection in the U.K. also with local production. And our ability to leverage the strength of each and production capabilities in each of the primary markets and drive new corrosion protection and fire protection sales together and then really connect the dot is a terrific opportunity for us. And I think it’s a great example of our ability to identify assets, work with owners and to really capture the best of both. The leadership team, just as we have talked about with Valspar, the leadership team of Sika has also joined us. Thomas Hasler [ph] is a very strong leader in the Sika business that’s joined and we believe that the combination of the legacy Sherwin and the new Sika assets and people is going to provide a great platform for growth.
Kevin McCarthy: Great. I appreciate the thoughts.
John Morikis: Yeah. You bet.
Operator: Thank you. Your next question is coming from Arun Viswanathan from RBC Capital Markets. Your line is live.
Arun Viswanathan: Great. Thanks for taking my questions. Really quickly, so I guess, just curious when you think about that mid-to-high single-digit sales growth for the year. You said TAG would be at the upper end or even above that. I think you already covered this. But is there a possibility that you could -- so that should be more weighted towards price, I imagine. So when we look at same-store sales, should you expect that to remain in that $3.8 million and above level as we go through the year?
Al Mistysyn: Yes. It will improve as the year goes on. Arun? Arun, you are still there?
Operator: Your next question is coming from Garik Shmois from Loop Capital. Your line is live.
Garik Shmois: Oh! Hi. Thanks. A couple of big picture questions for me. You talked about a number of positive leading indicators for TAG and you are sounding obviously pretty bullish about the outlook. But just curious if you are anticipating any impact from the increase in interest rates and how you could see TAG volumes evolving beyond existing contracted backlog.
John Morikis: Well, I am sure that you are all getting tired talking about leadership. But I would say, I am going to start here with, we have got a terrific leader in our Group President, Justin Benshere, that has this team really positioned very well. So I am going to take your answer slightly differently than what you have asked and start with the fact that our team is positioned to be able to capture market share in any situation. So new residential slows down, we are going to capture it on residential repaint and property maintenance or any other way that it tilts. That said, given my comments earlier about just the shortage in new residential housing and the demand, we expect that there’s going to be a strong demand and it’s going to continue. The homebuilders that we are working with, they have described this as a bump in the road here, but they are driving through it. And I suspect that as demand continues, there’s going to be more and more starts and we are going to be there. But if it does tilt another way, we are okay. We are going to be right on top of whatever way itself.
Al Mistysyn: Just to put some perspective on that, Garik, just to remind you. I mean, new residential is sort of a mid-teens type percentage of our TAG business. So while it’s meaningful to us, as John points out, we are strongly positioned in all these other segments as well.
Garik Shmois: Yeah. Got it. Makes sense. I guess the follow-up question is, just with respect to the 50 million gallons capacity increase. And just to be clear, is that fully ramped at this point just going the surge in production, particularly in March or is there more capacity to be able to get out of that project.
John Morikis: Well, it’s up and running. But to say is there more capacity to be captured. The answer is, yes. Joe Sladek, as I mentioned, the Global Supply Chain President. He and his team are constantly working on debottlenecking and finding more capacity in every asset that we have. But the 50 million gallons that we spoke to is up and running, I also mentioned the $300 million we are investing in Statesville in that facility to add additional capacity. That will be coming up I believe in 2024. It will be coming online. So we are looking ahead. We expect to continue to drive volume and we are ahead of the curve. Again, speaking with the confidence and determination we have, we are not going to look back and wish we would have and we have great determination and confidence in the execution of our strategy. We are going to have the capacity to be able to take care of it.
Garik Shmois: Great. Thank you.
Al Mistysyn: You bet.
Operator: Thank you. Your next question is coming from Adam Baumgarten from Zelman. Your line is live.
Adam Baumgarten: Thanks for taking my question. I think you said you expect input costs to decline or moderate at least in the second half. Is that the case?
John Morikis: I think what we have talked about for input costs, yes, we said the first quarter would probably be the highest inflation of the year, second quarter, we expect it to moderate and then come down a little bit further in the back half based on what we see now. As Al mentioned, we have got the best visibility is maybe about a quarter or so. But, yes, that’s correct. Our current outlook shows moderation in the back half.
Adam Baumgarten: Okay. Got it. And then just on the positive mix shift in quality. How much of that is related to simply more higher quality product availability, given the SKU rationalization and then maybe some weaker DIY demand versus a true mix up in the business.
John Morikis: Well, I would say, it’s a very good question, except that we have been witnessing this for some time now and it’s only continued. And I would attribute it largely to more of a labor issue than availability. These paint contractors, when you recognize that labor represents 80% to 85%, sometimes 90% of their cost. If you can make that per man hour more productive, you have more projects that you can complete, less callbacks, the opportunity cost issues resolve and so more and more people are moving up in quality. We have a full breadth -- we have the full breadth of products. And I would tell you, even going back to when I was in a store. Rarely did you see people that would stay in that lower price. Typically, what they -- what you would find is people that would be very price conscious would get in there and there are some applications for it. The ceilings of a closet or so, okay, I get that. But what you find is people quickly are learning -- they learn that I can spend a little bit more on a higher quality product and get more productivity, better touch up, get off the project with no callbacks and go on, it’s well worth it. When you look at the cost, if it’s a high cost market, the per man hour expense, it’s not a big investment to pay a little bit more for a higher quality product and get on to the next project for sure. And our people are trained in that. They understand how to do that. And again, it speaks to the tenure of our people. Again, Justin and his team, all our division presidents, they -- this is a program. We don’t just wait for this to happen. We don’t open doors and hope people walk in. We don’t hope that they just move up the food chain and quality by themselves. These are programs that we execute and it’s working very well.
Adam Baumgarten: Got it. Thanks a lot.
John Morikis: You bet.
Operator: Thank you. Your next question is coming from Eric Bosshard from Cleveland Research Company. Your line is live.
Eric Bosshard: Thank you. Two things, first of all, on raw materials, inflation broadly seems like it’s worse versus 90 days ago. You talked about energy and oil and TiO2. Is the paper read from today you are still comfortable with that original guidance for raws and is there something incremental you are doing to manage to stay within that original range and the environment, it seems a bit more difficult than 90 days ago?
John Morikis: Yeah. Eric, as we said on that range, we are trending towards the higher end of that low double-digit to mid-teens range. But we feel right now, as I mentioned on my previous answer related to oil and propylene and some of the other things, we are comfortable in that range right now. If it moves beyond that, I think, you have heard multiple times today, we will be ready to react with more pricing as needed.
Al Mistysyn: Eric, I would just add to that. You talk about what are we doing in response to it’s not in response to any short-term tweaks that we see in our raw material basket, our labs, whether it’s industrial, working with marketing, working with procurement or architectural working with marketing, working with procurement, really driving platform consolidation, simplification, so that we can drive more volume through a smaller base of raw materials. That’s an ongoing effort and not response to the current environment.
Eric Bosshard: Okay. And then, secondly, John, you talked about reactivating customers in the architectural business. And in this environment, that’s I don’t know if I have heard you talk about that before. So if you could just give us a little bit of color of what that looks like, that would be helpful?
John Morikis: Yeah. I might give you more of a description of what we are doing and what it looks like for obvious reasons. We will tell you about it after we have done it and show you the scoreboard on how we have achieved it. But I want to be very clear on, Eric, is that it’s not through price. We bring solutions and we bring profitability to our customers and we do it in a way that people are willing to stay for. Earlier there was a question about, we -- there was rumors about are we discounting to be able to do that and I want to be very clear and very direct that, that is not the case. But what we are doing though is leveraging what I just spoke to, the quality of people, the products and services that we have [Technical Difficulty] booked. And they have a strong desire to complete as many projects as they can and protect their reputation. And so if you could imagine all the activities you would do, if you were a store manager or a sales rep of Sherwin-Williams and building relationships, building trust, the connectivity and consistency is important. Every day over 3,000 sales reps wake up -- Sherwin-Williams reps determined to go be a better partner for their customers. And our ability to reengage with those customers and be responsive to their needs, have the products they need anticipate what challenges they might have shifts in weather to project delays, whatever it might be, all aligned in helping us to reengage. And while we don’t think we lost customers through these challenging times. We do feel as though we have lost some sales and we take great pride in our controlled model of anticipating what products they are going to need and having them there. But there were times where it may have gotten their late or we couldn’t get it there when they needed it and they might have had to go somewhere else. Well, you could rest assure of one thing here. We are not going to just assume they are coming back and so we are going to be very deliberate, very active and engaged with these customers to ensure that they are back in our stores, start with a cup of coffee, make a friend, use our paint. We are going to be after it pretty regularly.
Eric Bosshard: Okay. Thank you.
Al Mistysyn: You bet.
Operator: Thank you. Your next question is coming from Mike Sison from Wells Fargo. Your line is live.
Unidentified Analyst: Hi. This is Richard [ph]. Thanks for taking my question. Just one point on The Americas Group, when you look at volumes, which were down largely due to raw material availability, now that you have that easing and you have more capacity that you can bring on, do you expect to increase production on the DIY side or are you going to focus majority of your production on building inventories on the architectural side?
John Morikis: Well, we are going to be converting these precious raw materials into finished goods and pursuing all segments of our business and so I think at this point, that’s the extent that we want to talk about. We will talk about what we did next quarter, but we see a terrific opportunity to utilize the capacity that we have.
Unidentified Analyst: Okay. And then just related on that, in terms of SKUs in your stores, I know in the past, you talked about potentially limiting the number of SKUs in order to get more production out. Is that still happening or -- and is there any SKUs that are getting increased demand that you want to focus on [Technical Difficulty]
John Morikis: This was a challenging time. It did give us an opportunity to look at our SKUs and rationalize some of those down that will never return. There will be simplification opportunities in what we come out as a product line with. And I would suspect that what you will see in the very near future is a little bit of expansion beyond what we had coming through last year. But we are not going to just jump back to where we were. We are going to be a better company, more efficient with our working capital. We will have the inventory we need, but it may not be spread out as wide as it has in the past, but we will have what our customers need.
Unidentified Analyst: Great. Thank you.
Al Mistysyn: You bet.
Operator: Thank you. Your next question is coming from Jaideep Pandya from On Field Research. Your line is live.
Jaideep Pandya: Thanks a lot. I guess it’s sort of a two-part question to the same topic. This cycle, you yourself and a lot of your peers have done a phenomenal job on pricing, increasing prices very dynamically in the last sort of four, five quarters. And in the previous cycle, whenever you have sort of had inflation, the gross margin progression in the subsequent two years increases quite dynamically in the region of sort of 4%, 5%. So, do you expect in this cycle, when you catch up with raw materials with your pricing and other inflation with your pricing, we should sort of see gross margin expansion in year 2023, 2024, the same magnitude or do you think that because pricing went up so dynamically in this cycle, you will have to give back some of the price increases as raw materials stabilize and potentially go down if demand weakens in Asia and Europe? Thanks a lot.
John Morikis: So I’d say this. You are right. If you look historically, there’s been an opportunity there, but there’s also been the opportunity to invest back in the business. And so I would answer your question this way, our determination is to make our [Technical Difficulty] and help them make more money. There are other costs that go into this, labor, transportation, all of these things that we are doing, it might not necessarily hit the gross margin line, but our investments that we invest in to help our customers in their profitability. So I’d say that each one of these, we take a very in-depth view and very thoughtful view in how we can continue to ensure that what happens as a result of all these investments, all the pricing, everything that goes into it is that our customers win and when they win, we win. And if for whatever reason, we got piggish and tried to put pricing in that didn’t help our customers to achieve their goals and be more profitable, then we don’t deserve that business and you are not going to see us do that. And so our investments, our commitments and the ability to help customers be successful will be the drivers.
Al Mistysyn: Yeah. Jaideep, I’d just add to that. We do believe we are in a similar environment where as raw material costs go up and we put pricing in and pricing starts to catch up with the raw material costs and we see a short-term margin contraction, then you start seeing recovery and you saw sequential improvement in our gross margin in our first quarter. Our expectation is that we will see sequential improvement in our second quarter. And then as I talked about on our year end call, we expect to start seeing a recovery in the second half with -- at the midpoint, adjusted EPS of 16%. We talked about we need to see gross margin expansion for the year. And then going out, you would expect to start getting back to that long-term gross margin target of 45% to 48%, which we are not coming off.
Jaideep Pandya: Thanks a lot. And just one follow-up on Valspar really, I appreciate there has been so much that has changed. But if you go back to your original plan, it’s been sort of five-ish years since you did the deal. What are the areas where you are running well ahead and what are the areas which in hindsight, you could have done better, and actually, there’s still more room for us to be positively surprised on this deal?
John Morikis: Well, I’d say we are well ahead, I think, as the leverage of talent is number one. I mentioned starting at the top with our new COO, Heidi Petz, all the way through to Group President and Performance Coatings and throughout the company, I’d say there’s a terrific infusion of talent. I’d say the assets and the technology and the leveraging of the customers has been exciting. I mentioned earlier, automotive, the combination of some technology there is -- I was with one of our larger automotive refinish customers who asked, if that’s why we bought auto -- or bought Valspar for the automotive finish, it was that good. So I’d say there are terrific opportunities there. The brand itself is a very strong brand and growing in relevance and importance. And I think that’s terrific opportunity and one that I think were to add. I’d say if I look back and say, what we could have done differently or faster or better. I do think that coming out of 2016 when there was some hesitation on the previous leadership of Valspar to put pricing in. It took us years to recover that. And I think we learned from that and I think it’s a big part of why you see the determination always I hear -- I hope you hear the determination that we have not to allow that happen. And part of that is so that we can remain healthy and serve our customers so we can continue to invest in our business. I think the working capital is another area. I think we have gotten to it. I think there’s still more opportunities as are the asset utilization of the plants. So we are proud of what we have accomplished there. But I would tell you, just as we mentioned earlier, complacency kills, we are not done. There’s still plenty of opportunities, and we find ourselves still prioritizing and that speaks to, I think, the quality of the company that we acquired and the quality of the people that came along with it. But we are just getting started. There’s still a lot of work to be done there.
Jaideep Pandya: Thanks a lot.
Al Mistysyn: You bet.
John Morikis: Thank you.
Operator: Thank you. That concludes our Q&A session. I will now hand the conference back to Jim Jaye for closing remarks. Please go ahead.
Jim Jaye: Thank you, Matthew, and thanks everybody for joining the call. I hope you heard today that we are operating here with a lot of momentum, a lot of confidence and we are really focused on driving results. And before we sign off, I will just remind you about our upcoming financial community presentation, that will be June 8th in New York City and we look forward to seeing many of you there. So thank you once again, and as always, I will be available along with Eric Swanson for your follow-up calls. Have a great rest of your day.
Operator: Thank you, ladies and gentlemen. This concludes today’s event. You may disconnect at this time and have a wonderful day. Thank you for your participation.